Operator: Good day and thank you for standing by. Welcome to the Cavco Industries Fourth Quarter 2025 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to Mark Fusler, Corporate Controller and Investor Relations. Please go ahead.
Mark Fusler: Good day and thank you for joining us for Cavco Industries' fourth quarter and fiscal year 2025 earnings conference call. During this call, you'll be hearing from Bill Boor, President and Chief Executive Officer; Allison Aden, Executive Vice President and Chief Financial Officer; and Paul Bigbee, Chief Accounting Officer. Before we begin, we'd like to remind you that comments made during this conference call by management may contain forward-looking statements and non-GAAP financial measures. Forward looking statements include statements about our expected future business and financial performance and are not promises or guarantees of future performance. They are expectations or assumptions about Cavco's financial and operational performance, revenues, earnings per share, cash flow or use, cost savings, operational efficiencies, current or future volatility in the credit markets or future credit conditions. All forward-looking statements involve risks and uncertainties which could affect Cavco's actual results and could cause its actual results to differ materially from those expressed in any forward-looking statements made by or on behalf of Cavco. For a discussion of material risks and the important factors that could affect our actual results, please refer to those contained in our filings with the SEC, which are also available on our Investor Relations website and at sec.gov. The appendix to our press release also contains reconciliations of our non-GAAP financial metrics to the most comparable GAAP measure. This conference call also contains time sensitive information that is accurate only as of the date of this live broadcast, Friday, May 23rd, 2025. Cavco undertakes no obligation to revise or update any forward-looking statement, whether written or oral, to reflect events or circumstances after the date of this conference call, except as required by law. Now, I would like to turn the call over to Bill Boor, President and Chief Executive Officer. Bill?
Bill Boor: Thanks, Mark. Welcome, and thank you for joining us today to review our fourth quarter results. Seasonally, the fourth quarter ushers in the spring selling season. In our last call, we talked about the steady increase in orders over several quarters through calendar 2024 and how that has enabled us to increase production rates where our plants had supporting backlogs. The quarter-to-quarter trend of increasing orders continued in Q4, boosted by a pickup in March. This was after unusually challenging weather in February slowed installations in the field and caused some unplanned downtime in several plants. Harsh February weather is obviously expected in northern states, but the weather across the south was unexpected. Specifically, we lost 24 operating days across our system. The good news is that weather backs up installations and shipments, but it doesn't negate them. Again, in March we saw the expected spring pickup to close out a solid quarter. More generally, a lot of economic uncertainty entered the mix in Q4. However, March's uptick indicates that our buyers are out there trying to purchase new homes. Overall, our unit shipments were up almost 29% year-over-year. The backlog was down sequentially. To dissect that a bit, backlogs were expected to be down in January. They continued to decline in February for the reasons outlined earlier. And then we saw a healthy increase in March. While there is a range in the individual plants, across the system we have five to seven weeks of backlog. Market activity across the retail channels is generally positive and our plants are either holding production levels or looking to increase depending on their specific market conditions. Earlier in Q4 we announced that we renamed our manufacturing plants to the Cavco name. This is part of a rebranding of our homes under product lines that tie directly to the characteristics of the homes rather than the legacy brands of the factories. Our new and cohesive branding approach will make it easier for home buyers to quickly narrow their home search to the product lines that match their needs. Clearly, this change will better leverage all of the work we've done in digital marketing over the past few years and will benefit our dealers with improved leads from cavcohomes.com. Our plant investments and marketing improvements have Cavco ready to continue ramping shipments through both industry growth and market share gains. Our steady strategic investment through the downturn in both acquisitions and plan improvements has meaningfully grown our peak-to-peak capacity. This consistent investment has been enabled by strong cash generation and our debt-free balance sheet. While we've continued investing strategically, we've also continued our [four-plus] (ph) share buyback program. This quarter, we repurchased about $33 million of stock. Similarly, since the initial repurchase authorization in fiscal 2021, we've bought back 15.5% of our outstanding shares. We continue to be confident that we can repurchase shares without hindering any strategic opportunities. With that, I'd like to hand it over to Allison to provide more details around the fourth quarter results.
Allison Aden: Thank you, Bill. Net revenue for the fourth fiscal quarter of 2025 was $508.4 million, up $88.2 million, or 21%, compared to $420.1 million during the prior year. Sequentially, net revenue decreased $13.7 million, driven by a decline in average revenue per home sold. Within the factory-built housing segment, net revenue was $487.9 million, up $89.4 million or 22.4% from $398.5 million in the prior year quarter. The increase was primarily due to 28.5% increase in homes sold, partially offset by a 4.7% decline in average revenue per home sold. The decrease in average revenue per home was primarily due to a lower proportion of homes sold through our company-owned stores, product pricing decreases, and more single-wide in the mix. Factory utilization for Q4 of 2025 was approximately between 70% to 75% when considering all available production days. Utilization was approximately 60% in Q4 of the prior year. Financial services segment net revenue was $20.5 million, down $1.1 million or 5.2% from $21.6 million in the prior year. This decline was due to fewer loan sales and fewer insurance policies in force, partially offset by higher insurance premium rates. Consolidated gross margin in the fourth quarter as a percentage of net revenue was 22.8%, down 80 basis points from 23.6% in the same period last year. In the factory built housing segment, the gross profit decreased 10 basis points to 22.3% in Q4 2025 versus 22.4% in Q4 of 2024, driven by lower average selling prices. Financial services gross margin as a percentage of revenue decreased to 36.8% in Q4 of 2025 from 45% in Q4 of 2024 primarily due to reduced revenue from loan sales. Selling, general, and administrative expenses in the fourth quarter of 2025 were $77.5 million, or 15.2% of net revenue, compared to $61.4 million, or 14.6% of net revenue during the same quarter last year. The increase in SG&A was primarily due to a $10 million write-off of intangible trade name values due to our brand realignment. Additionally, compensation increased as a result of higher bonuses and commission expenses on higher earnings compared to the prior year period. Pre-tax profit was flat at $42.9 million this quarter compared to the prior year quarter. Effective income tax rate was 15.4% for the fourth quarter compared to 21% in the same period last year. The decrease in the effective tax rate was due to higher Energy Star tax credits and greater tax benefit from stock option exercises. Net income was $36.3 million compared to net income of $33.9 million in the same quarter of the prior year and diluted earnings per share this quarter was $4.47 versus $4.03 in last year's fourth quarter. Adjusting for expenses associated with our brand realignment, adjusted net income was $43.9 million compared to $33.9 million with adjusted diluted EPS of $5.40 per share versus $4.03 per share in last year's fourth quarter. During the quarter, we also repurchased $33.2 million of common shares, and during the full year, we repurchased $150 million of shares. Also, the Board of Directors recently extended the authorization by an additional $150 million, reflecting confidence in our strong cash generation, leaving approximately $228 million under authorization for future share repurchases. Now, I'll turn it over to Paul to discuss the balance sheet.
Paul Bigbee: Thanks, Allison. In the quarter, we had a decrease in cash and restricted cash of $3.3 million, bringing our balance to $375.3 million. Cash provided by operating activities was $38.7 million, partially impacted by the increase of current liabilities and accounts receivable. Cash used in investing activities was $10.1 million, and cash used in financing activities was $31.9 million, primarily due to share repurchases. Comparing the March 29, 2025 balance sheet to March 30, 2024, the increase in accounts receivable is related to organic growth in the factory-built housing segment. Unit shipments were 28.5% in the fourth quarter of fiscal 2025 compared to a year ago. The increase in short-term consumer loans receivable is due to higher origination of loans held for sale in excess of actual sales. Inventories increased from higher finished goods inventory at company-owned retail lots due to increased demand, as well as higher raw material purchases to support increased production. Goodwill and intangibles decreased from the $10 million write-off of intangible trade name values. Current liabilities are up from increased compensation and bonus accruals on higher earnings, increased insurance loss reserves, and higher customer deposits. Finally, treasury stock increased $150 million due to buybacks executed in fiscal year 2025. With that, I'll turn it back to Bill.
Bill Boor: Okay. Thank you, Paul. Liz, let's go ahead and open up the line for questions.
Operator: [Operator Instructions] Our first question comes from Daniel Moore with CJS Securities.
Justin Ages: Hi, good morning. This is Justin on for Dan. Can you talk about your expectations for production rates for fiscal first quarter relative to the fourth quarter? And then what can you tell us about your discussions with customers in both retail and community markets and the cadence of order rates in April and thus far in May?
Bill Boor: Yeah, we don't usually get too far into the current quarter but I know this when we report on the fourth quarter, quite a bit of time has passed since the quarter ends, so I understand the question. The production rate question first, this quarter we were kind of consistent with the previous quarter, pretty flat in Q4 with Q3. Like I said, the quarter started off kind of expectedly with January. We knew that we were entering into the year at a higher production rate than the order rates. We talked about that last quarter. That was a decision we made to kind of ramp up in anticipation of the spring selling season. And March picked up and what I'd say about the current quarter that we're in now, first quarter of the fiscal year, is that April has pretty much been consistent with that March positive trend as far as orders and a little bit of backlog growth. So, I'll give you that much and say that from a production perspective, when we talk to all of our plants, we have a range of backlogs in the plants and there are some plants that don't have the backlog really to increase production rate at the moment. But you really could only put our plants in two categories, those that are holding at this level, anticipating and hoping that they'll get a little backlog and be able to start ramping up and a good number of our plants that are kind of talking about, hey, our next move will be up in production. So, we really don't have any that seem to be looking at decreasing production rates for any reason. So, overall, the bias across our plants is for increasing production rates. And that'll be dependent on what the market gives us, for sure. You also asked how I think about the different channels. Retail, the dealers have been pretty solid for quite a while now and that continues. And communities, I almost hate to bring it up because it was such a long discussion, but with communities for a long time we were kind of held back on order rates as an industry because of inventory challenges and a little bit of hesitance with the market, we've seen them continue to, I guess, build back up. They got past the inventory, and now I would say the general feeling is they've moved pretty much back toward their proportionate share of order rates. So, we feel good about that too. That's been evolving over quite a bit of time. But really, I think, and when we talk communities, I always point out we're talking about both kind of the land lease and rental communities as well as the builder channel. So, lumping all those together, they're kind of returning back to their proportionate share of orders, which is real positive.
Justin Ages: All right, that's helpful. And then one more, if I could. How should we think about gross margin and operating margins in Q1 and over the next quarter relative to the Q4 results?
Allison Aden: Yes, thank you. While we saw some downward impact from reduced average selling prices of our homes, we saw lower input cost and reduced cost on service with our factory-built gross margins decline only really 10 basis points year-over-year to 22.3% and what I would say is that this demonstrates a couple of elements that we're going to -- that will determine our future margins in the factory-built housing versus pricing. And we are seeing regions where pricing is becoming more apparent -- pricing pressures are a little bit more apparent and starting to see some competition in pricing in regions. The second, really, component to look to will be cost. The movement in commodities, as you know, can be volatile and hard to predict. It's difficult to say, but we typically see increases this time of the year as builders and wholesalers order for the spring building season. And while prices are trending flat at the moment, there is a possibility of another surge soon, and we'll also have to see how tariffs play through. I think last point is on the consolidated margins, our consolidated margins also depends on the activity in our financial services segment, most notably in our insurance division. Given the recent activity in that division, while we're making strategic structural changes to limit losses, large storm activity can result in increased claims that could impact margins in the future. Does that help?
Justin Ages: Yeah. Very helpful. Appreciate you taking the question. Thank you.
Bill Boor: Thank you.
Operator: Our next question comes from the line of Greg Palm with Craig-Hallum.
Greg Palm: Yeah. Good morning, thanks. I wanted to just start with a little bit on what you saw in February. You mentioned some lost production days. What states or what regions exactly did you see that? And just to be clear, it was the month of February. Was that right?
Bill Boor: Yeah. February was really unusual. I mean, it seems like a long time ago, but February, the weather and it really was kind of, I would say, across the Sunbelt, but to be more precise, I think it really -- Texas got hit with a lot of very unusual weather and the Southeast states. So we did lose -- I mean, really, there's a couple of effects that I talked about briefly in the opening comments. In the field, setups really kind of stopped in a period of time in some of those states where they should have been fine from a weather perspective historically. And then we did lose some time in some of our plants across the Southeast in Texas. I think I've commented that there were about 24 down days across our plants due to just February's weather. And that's pretty unusual. So at that point, we were -- we're always kind of anxious, all of us. I know you guys as well as us are always kind of anxious to see how spring dates up for us, and February made us wait a little bit to really get an indication of that. Does that help, Greg?
Greg Palm: Yeah. And just to be clear, did that -- or I mean, I assume that impacted the margin somewhat, but any way to quantify exactly how sort of those lost production days might have impacted factory margins?
Bill Boor: Yeah, I think you're directionally -- I'll take a stab at it, but then Allison, maybe you can correct or fill in anything. I think directionally, you're right. We've talked in the past, while we try to keep our -- we focus as an organization on trying to keep our costs as variable as possible. Even above gross margin, there is a component of sticking cost. And so any time you kind of lose a little bit of volume directionally, there's a downward pressure on gross margin. My sense, but happy if Allison feels differently, my sense is it probably wasn't a huge impact on our gross margin that we reported. But directionally, it would have been a downward pressure. Is that fair, Allison?
Allison Aden: Yeah. I think that's balanced, Bill.
Greg Palm: And I guess maybe looking ahead, as it relates to the kind of the rebrand, maybe let's unpack or dig into that a little bit more in kind of the, number one, the rationale and maybe the feedback so far and what you really hope to get out of that.
Bill Boor: Yeah, I appreciate that question because it's so hard to give this justice and we try to be pretty concise in our prepared remarks. Just to give you a little bit of history, we've got 31 plants. And for the most part, those plants have come through a number of acquisitions over the years, really dating back to the Fleetwood acquisition, which was, I think, 2009. What we've done in the past is if we had a plant that came to us through Fleetwood, they were -- they continue to be called the Fleetwood plant in the market. And as a result of that, their products tended to be branded as Fleetwood products. And it didn't matter what they were making. So, if they were making a lower-priced product or even if they were making a higher priced, no matter what the characteristics of the product was that was coming out of that plant, people would refer to it as a Fleetwood home. And that was fine for a while. But we're getting to the point now where with the investments we've made in online marketing and the opportunity we see to do more national marketing or programs that are national in scope, that started to not work well or we saw the opportunity. And so what we've really done is we said, okay, all of our plants are Cavco plants. And whatever products they make, we're really not changing the physical product a given plant makes, but no longer is the name of that product tied to the name of that plant. So now we have product lines which are categories of homes that we make, and they'll be named with that short list of products, think about maybe four product lines across the nation. And those product line names will tie to characteristics of the home. So, if it's a high-end customizable higher-priced product, full tape and texture, that will fit into a given product line rather than just having the plant's name associated with it. If it's a lower-priced VOG, vinyl-on-gypsum products with less customization, that will be in a different product line. So you can imagine if you're a customer starting your search online, you're going to be looking at trying to figure out, okay, I think I'm in this category of homes. And we're going to be able to more directly help you say, okay, you're looking for this product line, and here are some independent or company dealers that can help you after you're ready to go talk to a dealer. So it's really going to improve the leads that go to those dealers, and it's going to help the customer much quickly, much more quickly get their search narrowed down to homes that really fit their needs. So this is a big deal. It's going to allow us to do some interesting things. We've recently introduced some national products that are going to be available in all of our markets because plants in every market can produce those. The ability to do marketing campaigns much more efficiently on cavcohomes.com has greatly improved. So we really think this is going to add a lot of clarity for folks shopping for our homes. It might have been a little long-winded there, Greg, instead of too concise in the opening statements. Does that do a good job of explaining it?
Greg Palm: Yeah, makes sense. I will get back in queue. Thanks.
Bill Boor: Thanks.
Operator: Our next question comes from the line of Jay McCanless with Wedbush.
Jay McCanless: Hey, good morning, everyone. Thanks for taking my questions. So digging down on the tariffs, I know during the supply chain days, tankless water heaters were an issue, some other things like that. I guess if you think about your cost of goods sold bucket, your input bucket, is there anything in there that we need to really be concerned about from a tariff perspective? I know Renai has a plant in Georgia now, so that should, I think, at least protect them partially. But are there any other things in the COGS bucket we need to be keeping an eye on?
Allison Aden: Jay, if I could, let me just share key points and, Bill, please jump in where you want to enter your comment. I think there's really three key points as we think about tariffs and how they could impact our business. The first is that many products we use are exempted really from any recent tariffs and that includes US lumber and steel. Second, we've been successful managing tariffs on Canadian lumber that have been in place for several years now. And although a few months ago, there was some discussion around potentially increasing this tariff rate associated with Canadian lumber, those discussions have now been set aside. So, we don't see any incremental impact there. Lastly, important to note that we do purchase many lighting, electrical and plumbing components, windows and doors that are sourced from China. And therefore, we do expect to see some impact that could reach between, call it, 5% to 8% of our material costs. And just as a reminder, the material costs are roughly about half of the cost of goods sold. Does that help?
Jay McCanless: Yeah. So, 5% to 8% on basically 50% of the COGS bucket, is that the way to think about it, Allison?
Allison Aden: Yeah, that'd be the way to think about it at this point, Jay.
Jay McCanless: Okay. And I'm sorry, Bill, I cut you off.
Bill Boor: No, no, it's good to clarify that. I was going to say your question, I'm not sure I'm adding a lot of value. But your question really kind of has two components, right? The cost increase, which Allison covered. And also, are we worried about just supply, just the access to the materials. So far, I don't believe we've gotten to the point where we feel like our ability to get the materials we need for a home has been really challenged. I guess the scenario where that might take place is if site building remodel, repair, remodel and our business kind of takes off. But right now, we'll keep our eye on it. But I don't think we have a high degree of concern about just being able to access the materials we need.
Jay McCanless: Okay, that's great. Thank you, Bill, and Allison also. So my second question, could you talk about where chattel rates are now and what you guys are seeing on credit availability for consumers?
Mark Fusler: Yeah, I can take the interest rate. We've seen a little bit of a spread start happening with lenders. So right now, the range is about 8% to 9%, but haven't really seen any impact to availability.
Jay McCanless: Good to hear. And then more of a broad question on the price competition you talked about, Allison, in the prepared remarks. Is it price competition across the board or is it more focused on lower-priced homes, single-wides? Any more detail you can give us on that price competition comment would be helpful.
Bill Boor: Yeah, I can jump in there, Allison. I think I wouldn't say in general we're seeing a huge pickup in price competition. There are parts of the country and the one that has stood out for quite a while is Florida where the market has just been down. And it's kind of interesting because you look at the Southeast and speaking over the last really one to two years, the Southeast has been fairly strong. But then Florida stands out as a very challenging market and it continues to be so. So, it's pretty isolated where we've seen any meaningful price competition. And generally, I'd say we haven't across the country. Your comment or your question really hit on an interesting point. We have seen kind of, particularly this quarter, we've seen kind of the product for product pricing on single-wides have a little more pressure than multi-section. So it seems like it is the low end. One that's picking up because we've seen a mix shift towards single-wides. But also that's where we've seen a little bit -- relatively a little bit more leakage in product for product pricing.
Jay McCanless: That's good to know. So more competitive on single-section homes?
Bill Boor: Yeah, and we'll keep our eye on that, Jay, because sometimes, and I think we all do this, I know we do it internally. Sometimes we're looking with a magnifying glass at some of these small number changes. We've commented before, if you look back at the cycle that we've been coming out of, this industry pricing has held up pretty well. And for a number of quarters, we've kind of seen the true price, true wholesale same product with its price quarter-to-quarter, it's been a very slow small decline.
Jay McCanless: Great. Thank you, Bill. That’s it for now. I’ll jump back in queue. Thank you.
Bill Boor: Thanks, Jay.
Operator: Our next question comes from Jesse Lederman with Zelman & Associates.
Jesse Lederman: Hey, thanks for taking my question. Bill, I'd love for you to clarify. You made a comment about April being pretty consistent with March as far as orders. I just want to clarify, are you saying that like from an absolute perspective, April is consistent with March? Or are you saying that the momentum you saw in April -- in March rather, has continued into April? Because I would have expected as you continue into the spring selling season and go from March to April, that you would see some lift in activity. So I'm just trying to clarify what you meant earlier.
Bill Boor: Yeah. Without parsing it too much, I wasn't trying to imply that it was flat. I was saying that March was an uptick and April has kind of seasonally been consistent with that uptick. We didn't see a reverse course on the trend.
Jesse Lederman: Got it. So, April, in other words, is following normal seasonality, you would say? Is that right?
Bill Boor: I think generally, that's fair, yeah. I'm not trying to be [indiscernible], seasonality is kind of interesting thing to track, too, because one year, the seasonality looks a little different than the next. But we feel good about April kind of continuing the positive momentum that we saw in March.
Jesse Lederman: Okay, great. But even still, it sounds like pricing is flattish, maybe down incrementally on an apples-to-apples basis just because of pressure in some region like Florida specifically. Would you normally see an increase in kind of the spring months as you enter the spring selling season, which is typically stronger from a demand perspective? Or do you not normally have seasonality in pricing from that standpoint?
Bill Boor: I don't think we've ever really noted seasonality in pricing because the industry kind of knows what's coming. And so, if orders are hard to come by, you might see some price pressure. And if orders are falling pretty good to everyone, you might see it tick up. But it doesn't seem -- this is kind of my sense because it's not something I've looked at that closely, but we don't generally go into a seasonally stronger season and expect to see price jump up, for example. I think it's pretty -- it's not -- pricing does not seem to be seasonal.
Jesse Lederman: Okay.
Bill Boor: I think where we are in the pricing is kind of interesting because we've had -- as I said, we've had a number of quarters now, I probably should keep track of the number, where we just saw this nice incremental growth in orders quarter-to-quarter. And yet we've continued to see that very slow same-product price leakage, I call it, because it's not really dropping. At some point, if the market continues to strengthen, that's going to flatten out and maybe increase as we would normally see. But there's always the economic -- macroeconomic risks and interest rates and all those things. And if it reverses the trend that we're kind of seeing in March, April and volume goes down, then you could see continued leakage or even an acceleration. We know it's volatile. It's a cyclical industry but it's really a question of whether the orders continue to strengthen. And if they do, I think we'll see that pricing at least steady and start to increase.
Jesse Lederman: Fair enough. Yeah, that makes sense. And then just to clarify, the fiscal 4Q margin did not include yet any impact from tariffs. Is that correct? And if so, when do you expect to see that flow through? In other words, if pricing is relatively stable and then you get kind of a 2% to 3% increase in the overall cost of the home, presumably, margin could come under pressure. Can you talk a little bit more about maybe the timing currently of -- with -- if tariffs were in that 4Q number, and if not, when that may expect to come through?
Allison Aden: So, tariffs really didn't have an impact in Q4. And consistent with the way that we talked about materials working the way through our COGS, from the time that we see the pricing in commodities to the time that it's actually within the cost of goods, it's about 60 to 90 days. So as tariffs just kind of now begin to take effect, it'd probably be another 60 days. So, if you put those elements together, suggests maybe some limited impact in the end of Q1 and then maybe a little bit heavier impact in Q2. But again, I think we're very keenly focused on a tight level of -- a tight number of products or input costs that it will effect for us. We've been very successful in managing supply chain shortages in the past, and we stay keenly aware of and very close to our vendor relationships. So we believe that we're going to be able to be very proactive in the management of the impacts of the tariffs in the quarters to come.
Jesse Lederman: Awesome. Thanks, Allison. And last one for me. Bill, you did a really great job at the House subcommittee hearing last week. It'd be great to just get your thoughts on what you think the key takeaway was from the hearing, and yeah, if you could give some color on that, that would be great. Thanks so much.
Bill Boor: I appreciate your comments on it. It's -- things happen slowly in that town, and every opportunity is an opportunity for politics to creep in. And I think we saw that even on a discussion about affordable housing, which clearly is something both sides of the aisle agree about trying to improve the supply. I think it was good that the discussion focused on supply. We've talked in the past that if the government steps in and tries to put more money in people's hands to buy homes, to me, that's just inflationary on the price of the homes. It doesn't really help the true root cause problem, which is a supply problem. And I think the conversation did focus on supply, which is encouraging. There are two House bills that are in place that I think would be important. I'm not going to go too long on this because I know it's -- I have a risk of doing that. One of them is to clarify HUD as the sole regulator of our industry. And some of you might remember that we've been working through a situation with the Department of Energy, where they've proposed rules on energy efficiency that really weren't well tuned to our processes, and that's created some dysfunction in the regulatory environment. And so getting the HUD clarity that the HUD is the sole regulator, I think, is a big deal, and I do believe there's a good chance that, that will happen legislatively. The other is interesting, too, and it's removing the chassis from the definition of a manufactured house under the HUD code. And the way I think about this is pretty simple. We would still make a lot of homes that have a permanent chassis affixed to the home. But just removing that from the definition of a manufactured home just opens up innovation opportunities for our industry. It opens up the possibility of more easily being able to do multistory homes. A lot of the innovation that could take place, it opens up the possibility of more easily setting at ground level or at or near ground level and not have any elevation that's required by the chassis in certain ways that we set up homes. And if you think about those kind of opportunities, you start to see the opportunity for product innovation for urban and suburban markets, and that opens up a whole new market opportunity for this industry. So those things will not -- I always will caution like, let's say, take the chassis removal, that won't open up opportunities overnight. There's a lot of work that has to happen at the state level once the federal definition has improved. But all of these things are aimed toward more supply of factory-built housing, which is a supply the country needs at the lower end of the affordability discussion. So I appreciate the question. I’ll try not to ramble on too much, but those are actions. Those are things that are really active right now in Congress. And if we can kind of push them through, I think that's real good momentum for the industry.
Jesse Lederman: Great to hear. Thanks so much again for all the color.
Bill Boor: Thanks, Jesse.
Operator: [Operator Instructions] We have a follow-up question from Greg Palm with Craig-Hallum.
Greg Palm: Yeah, thanks. I guess just on the tariffs and whether that's on some of the inputs that you alluded to or even something like steel, I guess the question is, how are you and some of your peers acting like? Are there surcharges that are being put in place in case? Or how would you expect to sort of counter if things actually get bad from here?
Bill Boor: Yeah, we -- I'll take a shot at that. We've seen, in some markets, different manufacturers propose that they're going to increase price or add surcharges for the tariffs. And we've seen a lot of manufacturers, including us, saying to our customers, hey, this is happening. So we're not going to try to be preemptive, but understand that our pricing is going to be -- it could be more volatile. We could be week-to-week or we could put a price increase in because of tariffs. So, our position has been more skewed toward that of just telling people in an open, transparent way. Just understand that if the tariffs do have a meaningful impact on our cost structure, that price could be affected. I don't know if that's helpful in the sense that people can't really plan for it, but we're just setting the stage to try to be very reactive to what the cost structure might be impacted. Now having said that, I've always talked that cost and price in our industry have, over the years, have become more independent in my mind. So, whether we can push through a cost increase in a given location is really a function more of the supply-demand dynamics in that region. So, I could envision if we see some meaningful impact of tariffs, there will be markets where we can increase price and kind of push it through and try to maintain our margins. But if we have other areas, I mentioned Florida earlier. We've got other areas where the demand is just not there, then the price will probably not be affected by the tariffs. So I hope that's not a non-answer. But I think people are more in the mode of just being ready to be fluid with this whole situation. And we've seen more with us, and I think also with our competitors, we've seen more open discussion about the potential reality of this and be ready and we have seen a lot of preemptive moves.
Greg Palm: Yeah. I guess what I was asking is whether you expect to pass it along or take the hit yourself, and the way I understand it is, it depends on the market, but for the most part, it sounds like you're still focused on maintaining that margin to some extent.
Bill Boor: Yeah. I'm kind of a bit of a Econ 101 thinker on a lot of this stuff. And if we have a market that demand is really exceeding supply, then the market price of our homes is going to go up really regardless of what's going on in the cost side. So, I really do think of the pricing of our products being somewhat independent from the cost.
Greg Palm: Yeah, okay. And I guess just maybe a follow-up on just sort of the activity in March or April because I think what you're seeing is definitely quite a bit better than, call it, general housing. So, any thoughts on whether that's a byproduct of the customer base, a byproduct of maybe the financing market and it not being as important to manufacturing housing? I'm just curious if you've got any theories why demand is holding up at least better on a relative basis.
Bill Boor: And, Greg, your question is really in comparison to the site builder dynamics?
Greg Palm: Correct, yeah.
Bill Boor: Yeah. I'm saying I'm going to try to keep myself from being long-winded because you guys are hitting on questions I can talk a lot about. I think it's been interesting. And I don't consider myself an expert on this but I'll give you my view. The site builders actually got a period of a boost when the mortgage lock-in effect on people who already owned houses at 3% rates kept people -- kept previously owned homes or the previously owned home market, the inventory was really low. And so if people needed a new home or needed a home, they're probably going to be buying a new home because that's what was available for a while. Now if you look at the stats on the broader housing market, the average mortgage rate is starting to move up, and we're starting to see more inventory of not new homes in the market. And so, it seems to me like they got a period where their market opportunity was expanded by the lack of used homes on the market, and now they're getting kind of compressed back into a more historic proportion of home sales. And so you've seen -- I don't think it's really stopped their market, but you've seen the growth opportunity kind of compress down a little bit. We're not a subject to those dynamics. Our buyers, I think, are completely -- not completely, but a large segment of our buyers are early about monthly price. Many more, historically, a larger proportion of all the manufactured home purchases are new manufactured homes. So, it really is a different customer base, and it's a different market dynamics, and I don't think we're as affected by the concept of how many days of inventory are there on the market for home sales. So, I don't know if that made sense, but I really think the dynamics are completely different. I mean, site builders are growing a bit slower than we are right now because the previously owned homes are coming back on the market and inventory is rising.
Greg Palm: Got it, okay. Yeah, that's good color. All right, thank you.
Bill Boor: All right. Thanks, Greg.
Operator: We have a question from Jay McCanless with Wedbush. Jay, you may be on mute.
Jay McCanless: Sorry about that, everyone. Thanks for taking my follow-up. Two questions for me. The first one, since you talked so much about Florida, could you give us any sense of what Florida is for annual shipments for Cavco or percentage of annual revenue, just so we have a sense of what's going on there?
Bill Boor: I'm not sure I have an actual number. I mean, we've got two plants in Florida. So you can get a -- if you just do a ratio of two out of 31, I think that's at a very high level about rates or the production capacity we have down there. And certainly, the market is not entirely gone. So those plants, while they're running with pretty low backlogs and have been for quite a while, their production level is down, but obviously, we haven't shut either one of those lines. So, overall, I don't think when you look at it on -- in comparison to the total company, I don't think it's a huge amount, and it's been the case for quite a while.
Jay McCanless: That's good to know. And then specifically on OSB prices, we've seen those come down pretty dramatically and it seems like they keep going down every week. Do you guys expect that to be a tailwind on your first quarter, your second quarter gross margin, just given how much OSB you typically use in a home?
Allison Aden: I think you're right. We did -- we have seen prices in March reflected kind of a steady demand that's almost back to the lows that we saw in 2020. I'd just say, Jay, from a history and experience perspective, that picture can change pretty quickly. And we do -- going back on my earlier comment, we do typically see increases in builders and wholesaler orders in the spring building season. I think this is just something -- a specific factor we'll have to stay close to.
Jay McCanless: Okay, great. Thanks. Appreciate it.
Operator: That concludes today's question-and-answer session. I'd like to turn the call back to Bill Boor for closing remarks.
Mark Fusler: Bill, I think you’re on mute.
Bill Boor: Thanks for the heads-up. Sorry, folks. Thanks, Liz. In a cyclical industry like ours, clearly, macroeconomic drivers can have a big impact on demand. I mean, we've talked about that a lot in the call. And so we're very focused on the key to success being making real-time adjustments across our system. I think our results continue to reflect both a positive view about the general direction of the industry's volume opportunity, but at the same time, an organization that stays very nimble, and we're able to react accordingly to whatever the market gives us. We feel very well positioned to react to market shifts and to continue to get solid results for our shareholders. I want to thank you for joining us today and for your interest in Cavco. And we look forward to keeping you updated on our progress. Thank you.
Allison Aden: Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.